Operator: Good afternoon, and welcome to the United Rentals Investor Conference Call. Please be advised that this call is being recorded. Before we begin, note that the company’s press release, comments made on today’s call, and responses to your questions contain forward-looking statements. The company’s business and operations are subject to a variety of risks and uncertainties, many of which are beyond its control and, consequently, actual results may differ materially from those projected. A summary of these uncertainties is included in the Safe Harbor statement contained in the company’s press release. For a more complete description of these and other possible risks, please refer to the company’s Annual Report on Form 10-K for the year ended December 31, 2017, as well as to subsequent filings with the SEC. You can access these filings on the company’s Web site at www.ur.com. Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to forward-looking statements in order to reflect new information or subsequent events, circumstances or changes in expectations. You should also note that the company’s press release, investor presentation and today’s call include references to free cash flow, adjusted EPS, EBITDA and adjusted EBITDA, each of which is a non-GAAP term. Please refer to the back of the company's recent investor presentations to see the reconciliations from GAAP to non-GAAP financial measure to the most comparable GAAP financial measure. Speaking today for United Rentals is Michael Kneeland, Chief Executive Officer; Jessica Graziano, Chief Financial Officer; and Matt Flannery, President and Chief Operating Officer. I will now turn the call over to Mr. Kneeland. Mr. Kneeland, you may begin.
Mike Kneeland: Good morning everyone and thanks for joining us. As you know, we often start these calls by talking about profitable growth. And today we have another strong quarter to discuss. We have measured our performance in concrete ways including our ability to get attractive margins and returns. In the third quarter, we achieved both of these objectives with results that were solidly rooted in a sustainable advantages such as fleet management, vertical strategies and productive gains as well as an effective strategy for M&A. Our acquisition of NES and Neff are still young but they are already returning good value for our shareholders. And then, Baker integration is going well as you will hear later in the call. Underpinning these initiatives is a robust endurable cycle that continues to propel industry growth. And it is important to note that we are outperforming both the U.S. equipment rental industry and the construction marketplace both of which are estimated to be growing in the mid single digits. By comparison, our pro forma rental revenue in the quarter increased by almost 11%. Let me mark this morning will be followed by Matt, who will talk about our operating landscape and by Jessica who took the reins as our CFO last week. Now turning to the third quarter results. Both total revenue and adjusted EBITDA increased significantly in the quarter. And our adjusted EBITDA margin improved by 20 basis points to 50%. Now, if we exclude the impact of Baker, we are up 80 basis points to 50.6% which would have been the highest margin in any quarter in our history. Looking at the underlying drivers, we had 7.4% increase in pro forma volume of equipment rental year-over-year and a healthy 2.1% increase in rental rates with gains across all 15 regions for both the quarter as a whole for each month individually. And we are growing our rate sequentially every month since March and the key point is that we have been able to convert these higher rates into stronger improvements in margin. The third quarter metric time utilization was 70.9% in the quarter, this was essentially unchanged from a year ago on a pro forma basis even though we had a spike in last September from the Hurricanes. So overall, remaining time utilization in the core business in a very high level. And as you saw in our press release, our underlying metrics did their job in driving returns and they point to consistently strong customer demand. Given these positive dynamics, we raised our guidance yesterday for full year revenue, adjusted EBITDA and CapEx. Our new outlook is based solely on our belief that we will outperform our earlier expectations of revenue and adjusted EBITDA. As for BlueLine, Jessica will give you the expected impact separately in her remarks. So operationally, we are well positioned to manage that growth. We built a powerful engine for organic expansion and for simulating future M&A. The discipline is that we even still through technology, process improvements and our safety culture have kept our priorities right in center while smoothing the way for acquired operations. In the third quarter, even with the integration underway, our team turned into excellent safety record. Our recordable rate in September was 0.74 and our rate for the year remains well below 1. So I applaud all of the employees for that. So in summary, all indications point to a solid fourth quarter with continued momentum. If anything, our avenues for growth have expanded given the recent investments we have made in our Gen Rents and Specialty segments. But not only larger, we are also more diverse in terms of the solutions that we will offer that makes us valuable partner to construction and industrial customers. At the same time, we maintain a robust capital structure and we are on track to generate significant free cash flow this year. These are all company specific strengthens largely independent of the macro environment. We will be talking more about our growth initiatives at our 2018 Investor Day that we will host in New York on December 11 and I hope you will join us there. For now, I will end my comments where I began. With the promise that we are flexing every muscle in our operation to drive attractive margins and returns. We are executing nicely on that goal and we want to keep raising the bar on the metrics because while we are gratified by producing strong results, will never be a 100% satisfied with them. Though, [all we] [ph] more that we can do and that's a good thing for our shareholders. So now I would like Matt to add his thoughts on the operations and Jessica will cover the numbers. So over to you Matt.
Matt Flannery: Thanks Mike. A minute ago, you heard Mike speak about our focus on driving returns and I want to use my remarks provide some specifics about how we achieve that particularly in terms of adding value for our customers. We feel strongly that we our broad offering of fleet, services and technology differentiate the United Rentals customer experience. And as you know, our specialty segment is a cornerstone of that offering. So let's start with that. Our acquisition of Baker adds new capabilities for fluid solutions while the segments robust organic performance in the quarter outpace the company as a whole. And things are going well with Baker and the combination is on track. The North American operations have been fully integrated and we plan to do Europe next year. We retained Baker's key leaders and the entire team has proven to be a great fit. They are excited about our initiatives from branch collaboration and they are sharing customers with our Gen Rent locations and we are actively engaged in the market for our new offerings of tanks and filtration systems. And looking at the specialty segment as a whole, we continue to gain critical mass. The Baker added 56 branches to the segment and we also opened an additional 26 cold starts this year. So together this brings our specialty footprint to 319 locations in North America with another 11 in Europe. And in the third quarter, specialty rental revenue increased over 39% year-over-year including almost 18% organic growth. And these numbers include a significant contribution from cross selling which grew nearly 25% year-to-date. Our investments in the specialty aligned well with our company wide commitment to drive returns in our core business while adding valuable services for our customers that's what the team is focused on maintaining our strong customer relationships through a comprehensive offering of products and services while keeping a keen eye focused on profitable growth. This goes far beyond our scale and service offerings. For example, we are growing our United academy curriculum which now stands at 435 training courses and we are continuing to develop our customer facing technology. This includes our digital capabilities including our proprietary total control software. And last month, we held our annual total control conference in Dallas for more than 250 customers who use that software. The agenda focused on digital solutions that help our customers drive productivity, safety and efficiency at their work sites. And the customers also got to hear about our technology strategy and we received a lot of great feedback from them. This was our 19th conference and our biggest one yet. The customers in attendance represented more than $400 million in annual rental revenue for us and it's a great example of how our technology is a differentiator. Earlier Mike spoke about company wide specific strengthens and how they exist independently as a macro, while these levers become even more valuable in the demand environment like the one we have today. Virtually every external sign post us positive for construction including the ABI and the Dodge Momentum Index construction employment data, project backlogs, our used equipment pricing and among other indicators, the industrial indicators are in the same camp. The various purchasing manager report such as the ISM and the Chicago PMIs are above 50 which indicates expansion. I'd also like to share some of the data points that underscore the broad-based nature of the cycle from our vantage point. In the third quarter all of our regions increased rental revenue year-over-year. The bulk of that revenue came from our key verticals within the construction and industrial sectors. In fact almost every vertical that we measure was positive for us year-over-year. For example, infrastructure is a vertical that's been giving us a nice steady trend up for a while now. In the third quarter, we saw sustained demand from infrastructure projects throughout multiple regions in both the U.S. and Canada. Project diversity is another hallmark of demand. On the West Coast, the tech giants are building data centers and we have four major airports that have work underway including a $14 billion project at LAX. And in the Gulf, there are continued opportunities across the entire petrochem complex from upstream oil and gas to midstream pipelines to downstream refining and chemical processing. And in Canada, our rental revenue growth stayed positive up almost 10% over the prior year. There are some big projects on the horizon in Canada as well including a massive $40 billion liquefied natural gas plant in British Columbia. We've been supplying the pre-work at that project for a while, once it ramps up, we expect to be onsite until about 2023. So that's a snapshot of our markets, healthy and growing. And if you ask our customers they'll tell you that things look good and our branches feel the same way. We're confident about the fourth quarter and believe the cycle has plenty of gas left in the tank. And next up for us is the BlueLine integration. And we're looking forward to welcoming the BlueLine team and moving into 2019 with a larger platform and even more capacity for Europe. Now I will ask Jessica to go over the numbers and then we'll take your questions. Jess?
Jessica Graziano: Thanks Matt and good morning everyone. I'm pleased to be joining the call as our CFO especially with such a solid quarter to discuss. One quick note before we get started. The numbers I'll be reviewing are as reported except for a few instances where I'll call them out as pro forma; the pro forma numbers include our two most recent acquisition Neff and Baker as if we own them a year ago. Let's begin with rental revenue. Rental revenue for the third quarter was $1.86 billion which is up 21.2% or $325 million year-over-year. If we break that down further, O-UR grew 20.3% which is an increase of $269 million that growth came mostly from higher volume which was up 17.8% or $235 million, rental rates contributed 2.1% or about $28 million. The impact from inflation on our replacement CapEx was a headwind. Call it 1.5% or $20 million. That leaves the impact of mix and other which was a benefit of 1.9% or $25 million. The positive change in mix is mainly due to the growth of our specialty business. Also included in rental revenue were re-rents and ancillary both higher this quarter as well benefiting from increased volume and the addition of Neff and Baker. Re-rent contributed about $9 million in the quarter and ancillary was better by $47 million. The majority of which is from higher delivery revenue coming in large part from recovering increased fuel prices. Now those numbers were as reported. But as Mike noted on a pro forma basis rental revenue for the quarter was a robust performance up about 11%. On to used sales which were essentially flat year-over-year. Adjusted gross margin on used sales was 50% that's down from 56.8% that's primarily due to the impact of selling the older fully depreciated NES fleet last year. What's important to note is the used sales market continues to be very strong. Our sales as a percentage of OEC was 58.2% and that's up 500 basis points. The increase was due to a strong pricing environment up 6% year-over-year. To a lesser extent, we also benefited from the mix of equipment we sold. Moving to EBITDA, adjusted EBITDA of 1.06 billion was up $180 million or 20.5%. That came in at a healthy margin of 50% which was up 20 basis points and excluding the impact of Baker adjusted EBITDA margin improved 80 basis points to a record 50.6%. Let me walk you through the bridge on the changes in EBITDA, $158 million of the $180 million increase is from volume with OEC on rent up 17.8%, higher rental rates provided another $27 million while ancillary revenue was a benefit of $23 million. The impact from incentive comp was a benefit of approximately $10 million in the quarter. So in total, $218 million of contributions to EBITDA is partially offset by four headwinds. We estimate that fleet inflation was a headwind of about $16 million. The impact from used sales was about $9 million and our [merit] [ph] impact in the quarter was $6 million. So that leaves a $7 million decrease in EBITDA from mix and other that $7 million is the impact of carrying fixed costs for Neff and Baker that were not there in the third quarter last year partially offset by the positive revenue mix I mentioned earlier. I briefly mentioned EBITDA flow through for the quarter which was 51%. If we exclude the impacts from Baker and used sales to isolate our core rental business, our flow through for the quarter was 59%. So a good performance across the core businesses with operating costs coming in on trend and as expected. As for adjusted EPS, a good result at $4.74 compared to $3.25 in the third quarter last year, while $0.87 of the increase was related to tax reform that still left us with a healthy $0.62 coming primarily from better operating performance and that equates to a 19% growth in underlying [Technical Difficulty] Turning to CapEx. Rental CapEx in the quarter was $736 million up $164 million from last year. The increase was in response to the broad demand we're seeing as Matt mentioned. Our guidance for the year modestly increases the range on our growth CapEx spend to between $2 billion and $2.1 billion. Year-to-date growth CapEx was just over $1.96 billion. And I'll mention that we would be looking at lower Q4 CapEx considering the fleet we pulled forward into last year to support Hurricane Harvey and Irma. Free cash flow continues to be a good story even with the higher CapEx spend I just mentioned. Year-to-date at September 30, free cash flow was $568 million or down $66 million from last year excluding the impact of payments we made for a merger and restructuring. The majority of the $66 million decrease mainly stemmed from higher CapEx as well as the timing on working capital needs. These impacts were offset in part by the improvements in our adjusted EBITDA. Let's move to net debt and liquidity. Net debt at September 30 was $10.1 billion. That's an increase of about $2 billion since last September mainly due to the Neff and Baker acquisitions. Our total liquidity at the end of the quarter was $910 million made up of ABL capacity of about $836 million and cash of $65 million. Now turning to ROIC. ROIC for the trailing 12 months ended September 30 was up 210 basis points to 10.7%. Since we're still using different tax rates within that trailing 12-month calculation I will mention that ROIC would have been 11% or up 70 basis points had we used the 21% federal tax rate in all periods of that calc. So as Mike mentioned we're very pleased with the increased returns we've generated in the quarter. A quick update on our share repurchase program. Our new $1.25 billion program started in July, through September 30, we repurchased about $210 million worth of shares on that program and as we mentioned when we announced the BlueLine deal we expect to pause the repurchase program once the deal is closed while we get through the integration. I'll touch on the impact of our 2018 acquisitions. Baker closed on July 31, so we had two months of contribution in the third quarter. Baker added approximately $56 million of revenue and $16 million of adjusted EBITDA both in line with what we expected in the quarter. We're on track as far as synergies with the run rate of about $14 million so far and a million of that is already realized. As for BlueLine, we anticipate closing the deal this quarter, if we assume the transaction closes at the end of October, we expect that BlueLine will contribute in the neighborhood of $120 million of revenue and about $50 million of adjusted EBITDA to calendar 2018. We don't anticipate any significant CapEx spend for BlueLine before the end of the year. I'll finish with a comment on guidance. And just to be clear this guidance does not include BlueLine for 2018. Our new guidance reflects our increased outlook for total revenue adjusted EBITDA and CapEx. That extra CapEx will help position us for what we believe will be a solid fourth quarter while kick-starting 2019 and still delivering robust free cash flow for the year of between $1.25 billion and $1.35 billion. So quarter of excellent results in a favorable macro and strong positioning for 2019. And with that I'll stop and open it up for questions. So operator please open the line.
Operator: [Operator Instructions] Our first question comes from the line of Ross Gilardi from Bank of America/Merrill Lynch. Your question please.
Ross Gilardi: Great. Good morning guys. Thank you. Look I think the question on everybody's mind is used markets are extremely tight. You went through the numbers, your end markets sound like they're extremely robust. Why isn't pricing even better? And realizing that you don't guide on rate, I'm not looking for that but if you reading the tea leaves correctly on your end markets over the next 12 to 18 months like what sort of steady state rate environment you think we're in or are we in plus 1% to 2% or are we in flat, are we in declining? Thoughts on that would be great.
Matt Flannery: Sure, Ross. Thanks. So I'll take a couple of pieces of the question then Mike or Jess can add-on. But, when we think about rates, first of all, we don't -- we see this as a good rate environment. So positive sequentials throughout each month in the quarter is certainly extrapolated in our brain into positive rate environment. We guess that the pro forms or the year-over-the year -- on the year-over-year numbers whether pro forma as reported has some tough comps specifically in Q2 and Q3. So we see that that will moderate when we get into Q4. For example, if you lay last year's sequential rate improvement over this year's actual achieved for the first three quarters which we've been challenged that in itself may even be conservative. But for modeling purposes think about that last year's achievement would bring us a 2.1% rate for Q4. That would bring us into 1% carry over into 2019 and what we think as you've heard will be a robust demand environment. So to answer the latter part of your question we certainly do think that this is a rate accretive opportunity not dilutive. So that answers that. As far as the sequentials, no doubt August probably came in a little bit lighter than we thought. The reason we stopped giving guidance is because there are so many thousands of variables and inputs that go into this, that it changes. The good news is that's not an indicator of profitability, it's great directionally. If we had seen negative sequentials that would be a concern for us. But when we get to translate this rate experience into record EBITDA margin as Mike mentioned and high returns we feel very good about the end market.
Ross Gilardi: Thanks Matt. That's helpful. And then, Jess, you just broke out some numbers for your underlying incremental margin and the rental business was close to 60% x-used and x-M&A. What is your guidance embedding in Q4 on incrementals on the same basis?
Jessica Graziano: Hey, Ross. Its Jess. So implied in Q4, if you use the midpoint and I always caution on the midpoint, but if you use the midpoint, the implied Q4 flow through is something in the neighborhood of about 62% and that includes the drag from the Baker acquisition. Obviously, they're coming in with their fixed costs and a margin that was lower than the core business. So if I exclude the impact of Baker in that flow through, the remaining flow through for the quarter ex-Baker is very high. So let me walk you through a couple of the impacts there. I'll remind you that we will anniversary the Neff acquisition in the fourth quarter. And so having done that we're going to have lower revenue growth quarter-over-quarter that's going to make flow through very sensitive to any changes in EBITDA. So for example, we've called out we have a benefit that will show up in the fourth quarter for incentive compensation. That number has dropped a little bit, but we're still calling that somewhere in the neighborhood of about $9 million to $10 million of benefit from that reduced bonus. That has a significant impact on the flow through for the quarter. So to the impact of net synergies that are kicking in. That was obviously realized within the quarter. So a couple of drivers there that that still maintain ex-Baker a pretty high flow through for Q4.
Ross Gilardi: Got it. Thanks. And just any thoughts on equipment installation into next year, realize, it's -- you're going to be going into that. But you didn't seem too worried about it last call that changed at all. Are you still expecting like a fairly benign equipment inflation environment despite all the call pressures out there?
Mike Kneeland: We feel the same way that we did in Q2 call. We've got some great partners, good vendors and we feel good that we will continue working together. And we wouldn't model anything differently than we had last year.
Ross Gilardi: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Rob Wertheimer from Melius Research. Your question please.
Rob Wertheimer: Good morning everyone. I assume your share price looks fairly attractive to you all. The question is a little bit as you integrate BlueLine it's a big deal, you don't want to get people nervous about how much that you carry et cetera. But do you have in mind like a threshold on that that EBITDA that you might feel like you stepped back in the market or maybe it's like a year and you're working on the integration and thinking about it or longer. Maybe just give us some sort of thoughts on how you trade those different opportunities off.
Mike Kneeland: It's a great position to be in as you pointed out. We do carry a lot of free cash flow. The way we framed it. We've said between 2.5 and 3.5 depending where you are in the cycle. We only finished out this year. You can do the math and see what we're going to finish out. And then, as we go into next year we're going to be very comfortably in that range. With regard to where the share prices -- the share price, we've been consistent not looking at that as we've applied our acquisition of the share repurchase program. It could have changed, it could, but right now I think it's going to be continue at a pace we've been doing. And if we change, we obviously will come out and tell you otherwise. But we don't look at that ups and downs as something that we need to have a knee jerk reaction to do something. But to your point, you have to stop think about it.
Rob Wertheimer: Thank you. And then you may not want to answer this question I understand but does the acquisition of BlueLine mean that you don't need to spend on growth CapEx in a healthy environment next year? Or should we assume that you can't operate the business as the business not on the acquisition?
Matt Flannery: Yes. I would think with everything you've heard us say about the demand environment, it would not be a good assumption to think that we're not going to put capital into the business. We feel very good about it. One of the reasons why we feel comfortable acquiring the company and even if you look at our pro forma not just our acquired growth this year, but our pro forma growth this year of 10.9% Q3 rent revenue I think that proves out where our focus is and how we think this larger footprint can only help us grow all about capacity Rob. The tech drivers, branch network and sales reps will bring onboard -- that give us more [indiscernible].
Jessica Graziano: And Rob just mentioned that -- as I know we talked about we're going to continue to be very disciplined in our approach to CapEx, right, so as we think about the planning process for 2019 and we decide where we think the year will go. As a management team we're talking constantly about whether or not that's the right level of CapEx for the business. And then, we are not afraid to flex up or down depending on what the business needs are.
Rob Wertheimer: So far looks good. All right. Thank you.
Operator: Thank you. Our next question comes from the line of Joe O'Dea from Vertical Research Partners. Your question please.
Joe O'Dea: Hi, good morning. First question is just on kind of the margin path you're on, on EBITDA and trying to think about as we head into next year some of the moving pieces around deal synergies that should contribute I think ancillary that's been high this year and a bit of a margin dilutive effect there. BlueLine that might be a bit of an offset, but it seems like it's a set up for continued margin expansion as you move into next year. But just want to kind of get a better handle on that given some of the moving pieces and the deals in particular.
Jessica Graziano: Hi, Joe. Yes. So we -- as you think about the flow through for next year. Yes, I think it's reasonable to think about the core business will perform at or kind of give or take a little better a little worse than where it is currently. We talked about a flow through of something in the neighborhood of 60% being reasonable for the core business. And that's not going to change. What will change is the impact that we'll feel from a full year of the Baker acquisition. And then, obviously, the impact that BlueLine will have on us in 2019 as well. And so, well obviously, we're going to continue to drive benefit through both of those acquisitions. There will be a dilutive effect at least in the short-term on the flow through for next year coming largely from those two deals. Now that's going to be offset in part by the synergies that we've realized from them in 2019. But again, there may be a bit of a drag.
Joe O'Dea: Got you. Net-net you have kind of a general sense of whether you can also derive with rate and core incrementals?
Matt Flannery: Too early for us to tell. We haven't even get a chance to really look at the -- under the hood of BlueLine, but we do think that will be incremental returns. So which is what we're really focused on that profitable growth.
Joe O'Dea: And it looks like the BlueLine margin that you're anticipating in 4Q is a little bit better than what you saw on the trailing 12 months when you disclosed that. Is that all -- that's all BlueLine efforts, that's not anything that you would be anticipating on sort of aligning them in your rate structure?
Matt Flannery: No there's nothing in there for BlueLine. So unless I misunderstood the question.
Jessica Graziano: Joe, as far as the 120 and 50 that I gave earlier, no, that would be them coming in with about a 40% margin which is consistent with what we've seen for them.
Joe O'Dea: And then just one on kind of the CapEx timing where 2Q and 3Q a little heavier CapEx than what you might normally do, I think in response to just like the demand environment. But then, some concerns that -- was that a factor on the sequential rate over the quarter. Any kind of insight you can give into some of those variables you talked about with rate and some of what would have been a little bit of a headwind on the sequentials because of those other variables?
Matt Flannery: Sure. No, we don't connect it at all. I mean when you have a rate pressure because of too much demanded, the gap is in whether you get 10 bps, 20 bps, or even 30 bps is positive is that you go negative. So that's why we're not concerned about that. And when we look at the markets overall whether you look by product category or you look by geography we're still seeing in every one of the reasons that steady improvement throughout the quarter on a year-over-year basis which is really what we focus on as a rate indicator. There's just too much noise in the input to individual months of sequential. And you're absolutely right, the CapEx was there to supply demand and as we said we think that demand turned into -- to profitable growth.
Joe O'Dea: Got it. Thanks very much.
Operator: Thank you. Our next question comes from the line of Courtney Yakavonis from Morgan Stanley. Your question please.
Courtney Yakavonis: Thanks guys. Just wanted to follow-up on the comment on cross-selling growing 25%. Was that all from the acquisitions that you guys have done from NES and Neff or you starting to see some organic cross-selling from some of the digital efforts that you've made on total control and UR control?
Matt Flannery: So I would say it's a continuation of the efforts that we've been driving for years, right. So we'll just get deeper and deeper into the organization and then some pick up to your point on the broader customer base that didn't have access to those. But it's definitely a both not a either or. And we continue to be very positive about what we can do now with a bigger fluid solutions. We think there's some more cross-sell opportunity for that group that that we should be able to improve upon 2019.
Courtney Yakavonis: Okay, great. Thanks. And then, just on your Gen Rent gross margins, I think they were up 120 bps year-over-year. Can you quantify how much of the benefit was just from lapping NES versus some of the items that we talked about last quarter freight and labor getting those some more in line?
Matt Flannery: I would say it's more getting our costs in line. We certainly do have a benefit as we sunset any of the acquisitions you just spoke about the flow through in Q4 when we sunset the Neff acquisition. But the real driver for the margin challenge in Q1 were those cost issues you pointed to and that we brought up and we've remedied those, feel very good about that.
Courtney Yakavonis: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Stephen Fisher from UBS. Your question please.
Stephen Fisher: Thanks. Good morning. Just getting back to a little bit of the why on some of the rate trends here because back in April on this call we were talking about 2.5% to 3% rate growth being reasonable for the year with potential for better. And now it seems like we're closer to 2%. I guess I'm really just wondering what changed if anything in the marketplace or how you were actually managing it. They just seems a little bit early in the cycle for rates to be decelerating given how robust it sounds like the opportunity set is on project activity.
Matt Flannery: Yes. As I said earlier, rates were about where we expected. We see 10 or 20 bps as negligible as long as you're getting the robust real life time utilization. The margins that you need and the profitability you need. And admittedly this year was a much smoother than last year and that's part of the competition you see. If you recall last year and I think we even have it in the deck yet we are having on Slide 37. We really dug a hole in Q1. And then, we had to aggressively backfill that hole and you saw really low numbers in Q1 and higher sequentials in 2 and 3. This year was a much smoother curve. If you actually -- ironically January through September of last year and January through September of this year on an actual improvement basis stand right on top of each other. So we still see this as a good rate environment and think '19 will be similar.
Stephen Fisher: Okay. And then, maybe just on CapEx, if you could just talk a little about what the specific metrics are that you're looking that they guide the decision to increase CapEx. There are some that would feel that the growing CapEx is inconsistent with a moderating rate growth environment. But I'm sure looking at it in a broader way. If you could just talk to some of the specific metrics that tell you okay, we can still grow CapEx even if rates are moderating.
Matt Flannery: Its margins and returns, right. So that part of the challenge and why we stopped trying to forecast the individual operational metrics of rate and time. Don't get me wrong. We manage rate aggressively. We managed time very well and they're both very important indicators. But when you think about whether it's our mix impact from renting more specialty fleets that in itself a $25 million positive in the quarter has more -- much more impact and about equal impact to the 2% year-over-year rate carryover. So there's other variables when we look at how we can translate our business into the type of performance that we have than just the rate. So I guess the focus on it from an outward perspective I'll repeat we do not see that as a decelerating environment. We've generated as Mike said in his comments record EBITDA margin if you take out the impact of Baker and record returns even if you take out the impact of tax reform. So we really love the environment that we're in and think will continue to turn it into dollars for the company.
Stephen Fisher: Just a quick clarification on free cash flow. I think in the earlier this year you've talked about next year being potentially better than 2018. What do you think about that at this point?
Mike Kneeland: This is Mike. Obviously as Matt mentioned earlier, we're still going through, one, we haven't finished the year. Two, we're going through the budget process. But I think it's fair to say that will be better next year. That's a fair statement.
Stephen Fisher: Terrific. Thanks guys.
Operator: Thank you. Our next question comes from the line of David Raso from Evercore ISI. Your question please.
David Raso: Good morning. Just a simple question. Just a level set expectations going into '19, the mix of your business, the customer size, long-term rentals versus short-term rentals. As you're going through the capital budgeting process, seeing the opportunities that contractors and customers are telling what they need for next year. Can you give us some insight on the mix of businesses to ration of rentals things that you're eyeing up already that can help us all level set how we think about the implications on time you rate and so forth just because few people are focused on rate new. At least help us some of those nuances that I could improve it, make it more difficult next year because mix obviously plays a big role.
Matt Flannery: Sure, Dave. This is Matt. So the customer profile continues to look similar, I think where there is some movement and I referred to it in the last answer is, as we continue to grow our percentage of specialty business not all that improvement in profitability that we get from specialty shows up in the rate metric I pointed to the $25 million a positive mix improvement in Q3 as an example. But also in time, specialty products are actually diluted or time utilization and we've been offsetting that headwind for years and we'll continue to do so. But it is by far a great business decision because of the profitability that it brings with it. As far as the striations of customers really we're getting growth and expect in 2019 broadly throughout our strategic accounts or national accounts and our local customers. And projects not too dissimilar from what we've seen. And when you think about our day, week, month mix very similar to what we've experienced. So not a lot of movement there. The biggest movement would be in the mix of our fleet dynamics.
David Raso: The growth of specialty above Gen Rent. What was the implications on rate not you on rate for the quarter. Just so again level set of specialties and we continue to be a focus to grow faster than Gen Rent that's a drag on this historical metrics that obviously the stock cares a great deal about. So if you can help us isolate a bit what mix is doing to those metrics. I think it behove all of us to understand what that specialty impact rates on for the third quarter.
Matt Flannery: So we've talk about the inputs that make it hard to forecast rate. It is exacerbated in specialty because you can price different service offerings in different ways whether it includes but doesn't include bulk and what kind how much is solution base versus asset base. It is actually really hard for us to predict. And we just respond to the customers need, price it appropriately, we don't really take that into account. Not that we don't pay attention to the rate and the year-over-year rate in specialty is positive as well and I wouldn't want to call that a drag. I just don't think all the value of a category is what I'm saying that it's not a drag overall in the year. It's not really a drag on rate, Baker will drag us a little bit. But that's okay, we'll get pro forma numbers and call that out. But I think overall, I wouldn't call it a huge variable as much as I would not fully appreciate the ancillary items and the mix positives that comes with specialty.
Mike Kneeland: David, the way I would -- Matt is exactly right. I think this is actually a great topic that we can have a discussion and point out at our Investor Day because we are changing the company. We've talked over the years. We're leveraging our customer and we're bringing that you know the specialty businesses into our customer base and we're growing it and the results are there and the returns are there to talk about. But I do think our Investor Day while we can spend some time on that subject.
David Raso: Yes. Let me look at the end of the day. We can talk about return on capital and cash flow we want, but you just beat numbers, raise guidance consensus probably going up and your stock down 10% I know there's some macro things going on obviously beyond your control, but appreciating how specialty -- and you're going to continue to focus on '19 to grow specialty more than Gen Rent. Understanding that I think it's pretty important to the story. Lastly, the M&A landscape obviously touched on a little bit earlier about looking at your stock and where the leverage is exiting 18 especially in pro forma thinking about BlueLine. But you said it yourself 2.5 to 3.5 leveraged based on where we are in the cycle. How should we interpret your view of M&A going forward and where you think we are in the cycle?
Mike Kneeland: So the cycle -- we still think there is live store cycle number one, number two capital allocation is extremely important whether it be fleet or acquisitions. And clearly, we've seen acquisition has an opportunity and we will continue to focus on that. We have a very robust pipeline that we were reviewing will be very disciplined in our approach and nothing's going to change there, but clearly we still very much in that game.
David Raso: Maybe ask more directly, if we're going to end this year below 3. Would you be willing to go above 3 times leverage next year?
Mike Kneeland: For the right acquisition? Yes.
David Raso: Yes. Okay. I appreciate it. Thank you.
Operator: Thank you. Our next question comes from the line of Seth Weber from RBC Capital Markets. Your question please.
Seth Weber: Hey, good morning. Good morning everybody. Sorry if I missed this, but just back on the specialty discussion maybe this is for Matt. Gross margins were down, I think 250 basis points this quarter. I think they were down a year-over-year, I think they're down 110 in the second quarter. Can you just give us some color on what's going on there, it seems like it's more than just Baker. And where do you see that kind of settling out.
Matt Flannery: Yes. So it is primarily Baker, so 170 bps to that is Baker. And then there's another 70 bps. I'm sorry. Do you have another point…?
Seth Weber: 170 of the 250.
Matt Flannery: Yes. And then you'll believe it or not was 70 bps to that change. And what that means is fuels more of a pastor. So you get the revenue, but you don't get to profitability on it. It's a smart thing to do for us to recover that but it does from a margin perspective put some tailwinds on that. So 240 of the 250 bps explained by Baker and fuel.
Seth Weber: Okay. So then, -- so next year called back half of next year you'd expect margins to be flat to up year-over-year then I'd assuming fuel and whatnot as kind of…
Matt Flannery: We still have to work through the Baker issue, we just don't know yet. Yes, when that anniversary, yes, yes, toward the back half of next year absolutely. And then, there's no underlying issue with the margins of our specialty businesses. They're still growing well showing great margins and very profitable for us.
Seth Weber: Okay. And then, it looks like you bumped your branch count up to 36 for this year, I think it was 18 as of last quarter's presentation. Is that organic or is there just -- any color you could share there?
Matt Flannery: Yes. So the real change there was we added some spot going business in our existing footprint. So it is technically right branch accounts or businesses that you write contracts out of, but we're seeing a lot of real estate so not a lot of additional costs here, but we think additional opportunity to serve customers with a broader product. That was the change from 18, that we are talking about.
Seth Weber: Okay. That's helpful. Thank you guys. Appreciate it.
Operator: Thank you. Our next question comes from the line of Stanley Elliott from Stifel. Your question please.
Stanley Elliott: Good morning guys. Thank you all for taking me in. Quick question, I think you may have spoken to it earlier, but in terms of resuming the share repurchase post BlueLine, how should we think about that timeframe into next year when you might look at resuming that?
Jessica Graziano: Hey, Stanley. It's Jess. So we're not sure exactly when that deal is going to close. And so what we will do is, we'll keep that program pause until we've had a chance to not only look under the hood of BlueLine but also assess our needs through the integration period. The plan is definitely to turn it back on once we've had a chance to do that. I can't pinpoint the time per se, but I wouldn't be surprised if you saw trying to get back on as early as some time in the first quarter of next year.
Stanley Elliott: Was there a kind of a window period where you were looking to complete it or was it -- if he could refresh my memory?
Jessica Graziano: So -- before the pause we had talked about finishing it by the end of calendar 2019.
Stanley Elliott: And then, lastly you talked about the cycle and the breadth of the growth that you're seeing in the momentum there. This is more like a just out of curiosity, but with more national account customers more larger customer more specialty more being intertwined with all these suspects, do you like the visibility into your business has improved with these changes? Just more curious than anything.
Matt Flannery: I would say overall we feel good about the visibility in our business. I would say some of the metrics in this call, right. So we're talking about a year. Let's be frank about it today. There is a way for us to maybe help everybody through how the impacts of all these acquisitions, different product offerings, different customer base broader customer base. I think we've got and will Mike or Jess maybe we can do this at Investor Day try to bring this all together and help everybody else see what it is that has changed and what should we be focused on. And then, therefore, you guys should be focused on. I think there's an opportunity there. But as far as for us what this really does is we think just makes us a bigger more important partner to the customers that we serve. By being a broader solution for that. And that's as well as profitable growth which is why we do them.
Stanley Elliott: No. I totally agree. Thanks guys.
Operator: Thank you. Our next question comes from the line of Chad Dillard from Deutsche Bank. Your question please.
Chad Dillard: Hi, good morning, guys. So can you give a little bit of color on the level of coding activity that you're seeing and maybe you can compare what you're seeing right now to the same time last year to get some perspective.
Jessica Graziano: So Chad, could you ask that again. I'm sorry. We didn’t hear the question very clearly.
Chad Dillard: Yes. Can you give some color on the level of coding activity that you're seeing and perhaps you can compare what you're seeing right now to the same time last year?
Matt Flannery: Yeah. So I extrapolate coding activity to demand right not just the RFPs and the handful of quotes that are more formal than what we go out and do every day. We would say the activity is strong robust year-over-year perspective if you wanted to extrapolate our volume into activity. You'd have to say it's on a pro forma basis 10% higher, but we don't necessarily look at it from a quote over quote year-over-year. What has changed is where we're participating. So I would say we're getting more focused on certain verticals I mentioned infrastructure in my opening remarks but we're probably getting more than just product aligned geographic alignment but now vertical alignment and we're seeing opportunities to get further penetration in some verticals and we think that's what's helped driving our growth. I hope that's helpful. We just don't use that terminology of holding on a year-over-year basis.
Chad Dillard: Sure. That's definitely helpful. And then, also how big of an opportunity do you see with The Baker acquisition to reprise some contracts and have a similar question for BlueLine, and I don't know if it's too early to really trying to learn that.
Matt Flannery: It's certainly too early to ask on BlueLine. And as far as Baker, we see the opportunity here into broader solutions package solutions not necessarily individual pricing on a transactional basis. We see this as broadening a fluid solution sale as opposed to free bids and a buy type work.
Chad Dillard: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Kathryn Thompson from Thompson Research Group. Your question please.
Steve Ramsey: Good morning. It's Steve Ramsey on for Kathryn. I guess just thinking about Europe early days there I know but as you look ahead on Europe, do you think it will be more of a specialty focused region or do you see kind of over time there being a Gen Rent presence there. And then, just any learnings so far now that you've got it under your umbrella?
Mike Kneeland: Well, this is Mike. Obviously, it's relatively to the Baker acquisition it was relatively a small piece. We're very much in the learning stage. It would be premature to say anything else above and beyond that as far as how we would think about it. We do see the opportunity for Baker in Europe to continue to grow at very nice returns and that's where our main focus will be. But clearly, it's -- we're probably looking at sometime in the first quarter towards the mid to tailwind the first quarter, at least the first half of the year beginning to fully integrated with our operating system. So again, it's too early to tell, but we're still focused really in North America, still the biggest market for us.
Matt Flannery: I would just add Steven that we are encouraged by the level of talent we did acquire there and how we can leverage that to learn faster than we would have without is probably the opportunity.
Jessica Graziano: Excellent. And then, thinking about specialty cold starts for next year. Obviously a bigger amount this year than what we thought going in. Thus bringing in BlueLine change the need to have cold starts and instead you just add on the capabilities for specialty to the BlueLine real estate.
Matt Flannery: We'll make that decision. We haven't really decided on it regardless of where house it and how we resource it from the real estate perspective. We are planning on about another 25 cold starts next year in specialty and it going to bring out a great opportunity that we've utilized in past integrations. Sometimes we get to use some of the real estate that we get from an acquisition because they have extra capacity and sometimes we just have to go out and find real estate, but we don't think either way real estate will be an inhibitor force.
Steve Ramsey: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Scott Schneeberger from Oppenheimer. Your question please.
Scott Schneeberger: Thanks. Good morning. In specialty real strong growth in same-store sales double digits. How sustainable is that. And then could you speak to the volume versus price mix in there what you have seen what you would expect to see going forward and how you think about managing that?
Matt Flannery: So as far as we continue to see more growth opportunity in specialty. We haven't filled out the footprints actually of any individual one fully. So there's wide space for every one of them, some are a little further developed, Trench has been our longest standing specialty business. So their networks a little more fully developed but still had some wide space and others. Baker being the most recent example have a ton of wide space. So with a specialty, we'll continue to be in growth mode for a while now. As far as pricing versus top-line revenue, they're pricing on a year-over-year basis is very similar to what the overall company's price is.
Scott Schneeberger: Thanks. Following up on that how implemented is total control across fluid solutions. Obviously with Baker entering is that something you are going to be aggressively pursuing and how much of a differentiator can that be? Thanks.
Matt Flannery: So some of our customers that were already doing business with Baker were and were on total control for us have a very high expectation for us to do that quickly and we're in the business of meeting those expectations. So it absolutely needs to be integrated because the customers are counting on. As far as will be a further advantage to the value prop for the existing Baker customers that weren't doing business with us. We believe so.
Scott Schneeberger: Okay. Thanks appreciate it.
Operator: Thank you. Our next question comes from the line of Jerry Revich from Goldman Sachs. Your question please.
Jerry Revich: Yes. Hi, good morning. Your ancillary revenue really accelerated this quarter. Can you just flesh that out a bit. Are you folks getting more success in pushing through transportation inflation than the past couple of quarters or is that a strict pass through and can you comment on the contribution from the specialty business in terms of contributing to that ancillary revenue performance this quarter and the sustainability of that.
Jessica Graziano: Hi, Jerry. You are right on point. The increase that we saw in the ancillary, the biggest component of that is the delivery revenue that's grown as a result of our being able to recover the fuel increases that I think everyone is seeing across the business and across the industry. So that is by far the biggest part of ancillary. As far as the breakdown of the specialty in that number, it's pretty much the same for the specialty businesses that would be for Gen Rent, our being able to recover that delivery, is pretty consistent. I wouldn't call out anything special for specialty and ancillary. I would just note again that the majority of positive mix that we had for the quarter was definitely coming from the specialty business.
Jerry Revich: And Jess, just a clarification. Were you more successful in obtaining the recoveries this quarter than in the past couple of quarters? In other words did the percentage of accounts that are willing to pay that increased for you folks?
Mike Kneeland: It's a very tangible thing to sell. All of our customers are dealing with the same issue in freight increases, fuel increases. So I would say we lagged a little bit in Q1 took a little time to catch up and then we talked about that on a Q1 call. And then we did a better job of recovering in Q2 and Q3.
Jerry Revich: And my follow-up on utilization Matt, you spoke about the storm comps, can you just talk about how that continues into October, so you folks had delivered fleet the third quarter which impacted utilization, I think a bit. So now that CapEx is slowing, should we expect utilization to be better than normal seasonality over the next couple of months? Give us some context, how you are thinking about it?
Matt Flannery: Yes, sure. So when we look at our pro forma which is how we always look at these metrics whether it's rate or time we were 0.4 positive in July, 0.2 in August and then you saw 0.7 negative in September. That's when we had the huge ramp up last year because due to Hurricane Harvey and to a lesser degree a little bit on Irma. We take that at about 50 bps of those 70 bps. We think that will continue in October just because of the comp issue. And then, it will start to moderate throughout November and be gone by the end of the fourth quarter. So as we go through Q4, we think that that comp compare issue will erode and will be back to par let's say by the end of the quarter.
Jerry Revich: Okay. Thanks.
Operator: Thank you. This does conclude the question and answer session of today's program. I would like to hand the program back to Mr. Kneeland for any further remarks.
Mike Kneeland: So, I want to thank everybody for joining us this morning. Our third quarter investor deck is online and available to download along with our deck describing the BlueLine acquisition. Hopefully, we will see you all at our Investor Day in December. If you have any questions or comments please feel free to connect with Ted Grace, our Head of IR, if you have any additional questions. So operator you can end the call now and look forward to our next meeting. Thank you.
Operator: Thank you. And thank you ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.